Operator: Greetings, and welcome to the Energy Transfer's Second Quarter Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Tom Long, CFO of Energy Transfer. You may begin.
Thomas E. Long - Chief Financial Officer: Thank you, operator. Good morning, everyone, and welcome to Energy Transfer's second quarter 2016 earnings call. And thank you for joining us today. I will begin today with an overview of our recent announcements related to the Bakken Pipeline Project and the new IDR subsidy ETE has provided to ETP. Then I'll turn our focus to a discussion of Energy Transfer Partners' second quarter results, followed by a growth project update, a financing and liquidity update, and lastly a distribution discussion. I'm also joined today by Kelcy Warren, Mackie McCrea, Matt Ramsey, John McReynolds, and other members of our senior management team who are here to help answer your questions after our prepared remarks. As a reminder, we will be making forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934. These are based on our beliefs as well as certain assumptions and information currently available to us. I'll also refer to adjusted EBITDA and distributable cash flow, or DCF, both of which are non-GAAP financial measures. You'll find a reconciliation of our non-GAAP measures on our website. Starting with the announcements we made on Tuesday afternoon, first, ETP, SXL and Phillips 66 announced the successful completion of the project level financing of our jointly owned Bakken Pipeline Project. The $2.5 billion facility is expected to provide substantially all of the remaining capital necessary to complete the project. The structure provides the joint venture with additional flexibility and attractive cost of capital as we worked toward completing the project. Second, ETP and SXL announced the signing of an agreement to sell 36.75% of the Bakken Pipeline Project to MarEn Bakken Company LLC, an entity jointly owned by Enbridge Energy Partners and Marathon Petroleum Corporation for $2 billion in cash. The sale is expected to close in the third quarter of this year, subject to customary closing conditions. ETP and SXL will receive $1.2 billion and $800 million in cash at closing, respectively, and ETP and SXL intend to use the proceeds from the sale to pay down debt and help fund current growth projects. Following the closing, each equity owner in the project will participate on a pro rata basis for any incremental capital need of the project. Upon closing, a subsidiary of Marathon Petroleum has committed to participate in a forthcoming Dakota Access/Energy Transfer Crude Oil Pipeline open season, and subject to the terms and conditions of the open season, make a long-term volume commitment on the Bakken Pipeline Project. A new open season is expected to be launched in the third quarter of 2016. Upon closing of the transaction, ETP and SXL will own probably 38.25% of the project, MarEn will own 36.75%, and Phillips 66 with 25% interest will remain unchanged. ETP will continue to oversee construction of the pipeline, and SXL will be the operator of DAPL and ETCO. Together, the Bakken financing and partial Bakken ownership sale will help ETP provide a clear path to funding its current major growth projects, which, when completed will provide ETP with significant cash flow. And lastly, ETE announced an IDR reduction transaction that is intended to increase ETP's distributable cash flow. ETE has agreed to a total reduction in incentive distribution rights from ETP in the aggregate amount of $720 million over a period of seven quarters, beginning with the quarter ending June 30, 2016 through the quarter ending December 31, 2017. The IDR reduction for the second quarter of 2016 is $75 million. And the quarterly IDR reduction will increase each subsequent quarter, reaching $130 million for the fourth quarter 2017. As we have often stated, ETE is committed to supporting ETP, as it contemplates its current CapEx spend. As these major projects are completed, ETP will benefit from the significant cash flow growth. In addition, these transactions are aligned with the plan we have laid out to the rating agencies, and we believe demonstrate our commitment to taking the steps necessary to maintain our investment grade rating at ETP. I will walk through our funding strategy for the remainder of 2016 a little bit later on the call. But now, let's turn to ETP's second quarter results. Adjusted EBITDA on a consolidated basis totaled $1.37 billion compared to $1.49 billion for the second quarter of 2015. We had strong growth in the Liquids segment, which was offset by lower EBITDA from SXL and Midstream as well as the deconsolidation of the retail marketing. DCF, attributable to the partners of ETP, as adjusted, totaled $774 million compared to $957 million a year ago, primarily due to the absence of a $120 million current income tax benefit realized in Q2 of 2015 as well as a lower EBITDA. Now, let's go over the individual segment results. Starting with Midstream, adjusted EBITDA was $298 million compared to $352 million for the second quarter of 2015. This decrease was primarily due to the realization of derivative gains in 2015 related to the termination of the Regency hedge portfolio and lower natural gas and NGL prices partially offset by higher throughput volumes. Gathered gas volumes totaled approximately 10 million MMBtus per day, which is up slightly versus the same period last year, primarily due to the start-up of the Orla processing plant in the Permian Basin, the Ohio River System in the Northeast and the Dubberly Processing Plant in the Cotton Valley region. NGL production also increased in the second quarter by 69,000 barrels per day to 469,000 barrels per day compared to the second quarter of 2015. And Equity NGLs increased in the second quarter by 1,500 barrels per day to nearly 32,000 barrels per day. In the Liquids Transportation and Services Segment, adjusted EBITDA increased more than 40% to $220 million compared to the same period last year. The increase was due to higher throughput at the Lone Star fractionators, higher NGL and crude transportation volumes as well as the start-up of the 30-inch segment of the Bayou Bridge Pipeline project and increased storage margin. NGL and crude transportation volumes on our wholly-owned and joint venture pipelines increased more than 30% to 608,000 barrels per day. This was due to increased volumes in all of our producing regions and on our crude oil transportation pipeline in the Eagle Ford Shale as well as the startup of the Nederland to Lake Charles segment of the Bayou Bridge Pipeline, which averaged 57,000 barrels per day during the quarter. Year-over-year, average daily fractionated volumes increased 40% to 345,000 barrels due to the startup of our third fractionator at Mont Belvieu, which was commissioned in late 2015, as well as increased producer volumes. In our Intrastate segment, adjusted EBITDA increased more than 25% year-on-year to $149 million due to the improved results from the storage optimization business. Transported Intrastate volumes decreased slightly due to lower production in the Barnett Shale, partially offset by increased volumes to Mexico. We continue to expect volumes to Mexico to grow, particularly with the projects coming online in early 2017, which are expected to increase demand for transport services through our existing pipeline network. In our Interstate segment, adjusted EBITDA was $278 million compared to $285 million from the second quarter of 2015. We did see an impact from the contract restructuring on Tiger as well as the repurposing of Trunkline's 30-inch pipeline for the Bakken Crude Oil Project, partially offset by higher revenues from park and loan services. Moving to Sunoco Logistics. Adjusted EBITDA was $245 million for the second quarter of 2016. This was approximately $80 million lower than SXL's second quarter of 2015, primarily due to the reversal of approximately $60 million of positive LIFO inventory accounting and the absence of $25 million of positive LIFO inventory accounting reflected in the second quarter of 2015. Excluding approximately $85 million of LIFO inventory accounting timing, SXL's second quarter 2016 EBITDA was $4 million higher than the second quarter of 2015 due to increased ratable fee-based earnings from recent organic projects, partially offset by lower market opportunities primarily related to crude oil differentials. Moving on to the retail results. Due to the transfer of the general partnership interest of SUN from ETP to ETE in 2015 and completion of the dropdown of the remaining retail marketing assets from ETP to SUN in March of 2016, the partnership's retail marketing segment has been deconsolidated and the segment results now reflect an equity method investment in limited partnership units of Sunoco LP. For purposes of calculating adjusted EBITDA, we report our proportionate share of the Sunoco LP adjusted EBITDA after reducing the GP IDR cash distribution. For the second quarter of 2016, adjusted EBITDA was $68 million compared to $140 million in the second quarter of 2015 due to the deconsolidation of this segment. For the three months ended June 30, 2016, distributions from unconsolidated affiliates reflected the distributions to be received from Sunoco LP for the period, which were $36 million. For the all other segment, adjusted EBITDA was $112 million compared to $114 million a year ago. Results were impacted by lower horsepower from our compression business and lower refining frac spread at our investment in PES. Now let's move to our growth projects, where I'll provide a brief update. Starting with the Bakken Pipeline Project, our JV with Sunoco Logistics, Marathon Enbridge and Phillips 66. We're very pleased with our progress in this last quarter. We have now received the required approvals to release the construction across all sections of the projects. We commenced mainline construction on May 16 in accordance with our anticipated project schedule. As a result, this project remains on schedule to be in service by the end of this year. Next, on Bayou Bridge, a JV with SXL and Phillips 66 Partners. We began commercial operations on the 30-inch segment from Nederland to Lake Charles in April. And for the second quarter, volumes averaged 57,000 barrels per day. The 24-inch segment of Bayou Bridge from Lake Charles to St. James continues to move forward with permitting and right-of-way acquisition and we still anticipate that deliveries to St. James will commence in the second half of 2017. On Rover, we received the Final Environmental Impact Statement as scheduled on Friday, July 29. We expect the FERC Certificate in the beginning of the fourth quarter of this year. We have awarded construction contracts on almost 85% of the pipeline. All major materials have been secured and delivered to the project. We continue to anticipate being in service to the Midwest Hub near Defiance, Ohio by the end of June 2017 and to markets in Michigan and Union Gas Dawn Hub by November of 2017. Shifting now to Lone Star NGL. Frac IV is ahead of schedule and is now expected to be in service by early November of this year. And on the Lone Star Express NGL pipeline, we placed the 24-inch pipe in service in late April and the 30-inch pipe was placed into service last week. The project came in significantly under budget and about one month ahead of schedule. On our Mexico projects, the Trans-Pecos and Comanche Trail Pipelines will expand our intrastate pipeline capacity to carry gas from the Permian Basin to Mexico. We have received all necessary permits, including the Presidential Permit. We have commenced construction and remain on track to be in service in the first quarter of 2017. Now up in the Northeast. As discussed on our last earnings call, the 2.1 Bcf per day Utica Ohio River expansion is fully in service. Volumes on this system continue to grow in the second quarter, outpacing MVC levels. We expect volumes to continue to grow throughout 2017. On the Revolution Project, the pipeline and plant as well as the fractionation facility are expected to be in service in the fourth quarter of 2017. Finally, in West Texas are 200 million a day Orla Processing Plant in the Delaware Basin went into commercial service May 1. We are currently at full capacity. And the 200 million a day Panther Processing Plant, which is in the Midland Basin is still expected to come online in the fourth quarter this year. Due to the continued strong demand in the Permian, we expect to announce a new 200 million cubic foot per day processing plant in the Delaware Basin later this year. However, we are evaluating the best location for the facility. Now moving to CapEx, in the first six months of 2016, ETP invested approximately $2.1 billion in organic growth projects on a gross basis with the majority allocated to our Liquids Transportation and Services and Midstream segments. For the full year 2016 CapEx, we now expect to spend approximately $2.9 billion of organic growth capital, net of amounts forecasted to be financed at the exit level with non-recourse debt. This is up approximately $100 million from our forecast on our first quarter call primarily due to an increase at Midstream as a result of the number of small bolt-on projects in the Permian. We are nearing the conclusion of our major project backlog spend from the last couple of years and we continue to foresee significant EBITDA growth in 2017 and 2018 from the completion of this project backlog. As a reminder, the majority of these projects are backed by long-term fee-based contracts. During the first half of the year, we spent $110 million on direct maintenance capital expenditures. For 2016, we are forecasting maintenance capital expenditures of $310 million to $345 million. For 2017, our preliminary organic growth capital forecast is approximately $1.9 billion, net of amounts expected to be financed at the asset level with non-recourse debt. This number is based on projects that our board approved and/or currently under construction with costs that roll in to next year. Before moving on to discussions on distributions, let's take a quick look at our liquidity position. As of June 30, 2016, our debt-to-EBITDA ratio was 4.47 times for our credit facility covenant. And the outstanding balance of ETP's $3.75 billion credit facility was $1.13 billion. As I previously mentioned, earlier this week, we signed an agreement to sell a portion of our equity interest in the Bakken Pipeline Project and we'll use the proceed to pay down our revolver and fund future projects. Also during the quarter, we issued approximately $45 million of equity under our DRIP program. We issued no equity through our ATM in the second quarter, as our previous ATM program had been previously utilized. We have since entered into a $1.5 billion ATM program. Taking a look at our funding needs and strategy for our 2016 CapEx, the project financing of the Bakken pipeline reduced ETP's 2016 own balance sheet capital funding requirements by approximately $1 billion. Just over $2.1 billion was spent through the first half of the year including the expenditures related to the Bakken Rover and Bayou Bridge, as well as SXL's proportionate ownership of Bakken and Bayou Bridge which was $277 million. We have spent around $1.6 billion net of amounts financed at the asset level with non-recourse debt including the initial draw on the project financing. This leaves us with approximately $1.25 billion of own balance sheet capital funding needs based on our proportionate GP interest for the second half of the year. Consistent with our previously communicated strategy, we plan to opportunistically utilize our ATM along with the undrawn balance on our revolver to fund all of our remaining 2016 growth capital. We continue to be very focused on maintaining our investment grade rating and keeping our balance sheet in line with the expectations of the rating agencies. Now, I'd like to touch on our recent distribution announcements. In July, we announced a distribution of $1.055 cents per common unit for the second quarter or $4.22 per common unit on an annualize basis. This was flat compared to our first quarter of 2016 and will be paid on August 15 to unit holders of record as of the close of business on August 8. As it relates to the distribution going forward, we expect our distribution coverage will continue to improve in light of the IDR reductions announced Tuesday and the anticipated completion of our major capital projects during the second half of 2016 and during 2017. These projects are expected to generate significant cash flows. Our primary objectives during this major spending program continues to be maintaining our investment grade rating at ETP as well as our current cash distribution level at ETP. Moving on now to ETE, I'll begin with ETE second-quarter results followed by liquidity financing update and a Lake Charles LNG update, we will then take your questions. Turning to the financial results, as a reminder, effective July 1, 2015 ETE acquired 100% of the membership interest of Sunoco GP LLC, a general partner of Sunoco LP and all of the IDRs of Sunoco LP from ETP. So Sunoco still appears in the consolidated financial statements for ETE. ETE's cash flow come from the general partner and IDR's and LP interest at ETP, 90% of the economics of the GP and the IDRs from SXL through the class H units, the ownership of Lake Charles LNG and 100% of the GP interest IDRs and LP interest in Sunoco LP. Our distributable cash flow as adjusted for the second quarter fell $276 million compared to $335 million for the second quarter of 2015. The decrease was due to the additional $75 million IDR subsidy granted to ETP for the second quarter of 2016. ETE's coverage for the second quarter was 1.15 times. Normalized for the new IDR subsidy, ETF (23:41) would have increased $16 million over the second quarter of 2015 and coverage would have been 1.46 times. ETE announced last month a quarterly distribution of $0.285 per quarter. This equates to $1.14 per unit on an annualized basis. It will be paid on August 19 to unitholders of record as of the close of business on August 8. Let's look now at liquidity and financing. ETE continues to have a healthy liquidity position. We ended the quarter with a debt-to-EBITDA ratio of 3.18 times for our credit facility. Without the IDR subsidy, leverage would have been 2.77 times. As of June 30, 2016 there was $885 million in outstanding borrowings under our credit facility. Therefore at the end of Q2 2016, the overall ETE standalone debt was $6.4 billion with a blended interest rate of 4.8%. Now, turning to Lake Charles, which to remind you is owned 60% by ETE and 40% by ETP. Last week, Lake Charles LNG Export Company, LLC received from the DOE, its final opinion and order granting long-term multi-contract authorization to export LNG to non-FTA nations. As a reminder, Lake Charles LNG Export Company, LLC is a wholly-owned energy transfer entity and the volumes authorized under this order are equivalent to but not additive of those volumes previously authorized to Lake Charles Export LLC, an entity owned jointly by Shell and Energy Transfer. With receipt of this final opinion and order, Energy Transfer now has the optionality to export volumes on its own behalf. Shell announced last week they will delay FID for the Lake Charles LNG Export Project. We expect to engage in further discussions with Shell regarding its future plans for this project including extension of the project development agreement between Shell and Energy Transfer. In the meantime, we're continuing work with Shell on completing the early works projects. Before opening the call up to your questions, I would like to say that our diversified business model together with the geographical diversity of our assets continue to allow our business to demonstrate resiliency in commodity markets that have been challenging. The underlying fundamentals of our business are strong and we believe we are in great position for growth. ETP is nearing the conclusion of a significant capital spending program that gives us visibility into the future, stable EBITDA growth, particularly in 2017 and 2018. ETE has demonstrated that its priority is and will continue to be, supporting its core operating subsidiaries. ETE will continue to take whatever steps necessary for their continued financial health. We will remain prudent as it relates to the balance sheet, lowering our leverage and increasing coverage and liquidity. Our commercial and operations teams have done a great job continuing to move our projects toward completion and remain focused on project execution and cost management. With that, operator, that concludes our prepared remarks. Please open the line for questions.
Operator: Thank you, sir. At this time, we'll be conducting a question-and-answer session. Our first question today comes from Helen Ryoo of Barclays. Please go ahead.
Helen Jung Ryoo - Barclays Capital, Inc.: Thank you. Good morning. Congratulations on the Bakken Project financing. Just starting off there, could you maybe give us a little bit more information on the cost and term of that facility? And what does the debt amortization schedule look like, if there is any, over what time period?
Thomas E. Long - Chief Financial Officer: Sure, good morning Helen. This facility is, from a term standpoint, it's a three-year facility. And it's a – basically the cost side is 2% to 3%. It starts off at basically 150 basis points over LIBOR and steps up eighth of a percent each year. It does have some other fees into it, so it's basically a 2% to 3% type financing. So obviously very good financing. We're excited about it as we move through the construction of this project. As far as I think the last part of your question on the amortization, it does have a very small amortization in the third year, if you still have this loan in place, but all-in-all, like I say, we want to get through the construction and we think we've got a – once again a fantastic project here and we look forward to longer-term financing on a very competitive basis.
Helen Jung Ryoo - Barclays Capital, Inc.: So after three years you would terming it out? That's the plan?
Thomas E. Long - Chief Financial Officer: That's correct. Or in between if it's a facility.
Helen Jung Ryoo - Barclays Capital, Inc.: Got it.
Thomas E. Long - Chief Financial Officer: Helen, so it's a – we'll look for opportunities throughout that three-year period.
Helen Jung Ryoo - Barclays Capital, Inc.: Okay. Understood. And then the – I guess the mention of getting a strong partner like MPC in, that's very positive. You'll be doing an open season and based on the outcome of the open season, you will be making a decision to bring it up to 570,000 barrels a day. Is that the plan? And if so, is there any material incremental cost to bring it to that level in terms of capacity?
Matthew S. Ramsey - President & Chief Operating Officer & Director - Energy Transfer Equity LP: Helen, this is Matt Ramsey. With regard to bringing it up, I think that's something we will be evaluating. We have capacity right now of 470,000 barrels a day, relatively small amount of CapEx. You can probably bring it up to 570,000 barrels a day. And obviously we'll take a look at doing that as the demand increases out there. But we're excited about having two strategic partners in Marathon and Enbridge in the project. And we anticipate that it will accelerate the growth having those as part of this project.
Helen Jung Ryoo - Barclays Capital, Inc.: That's great. And then, just a few questions on Rover. I guess you'll be doing Rover project financing at some point. And I assume next year's CapEx assumes that being done. So just in terms of timing, when would that process start? Also, are you open to doing something similar on Rover on what you did on DAPL, potentially bringing in a strategic partner to alleviate, I guess improve the economics and also reduce the financial burden? And also the last question on Rover is, is that pipeline expandable at a modest cost?
Thomas E. Long - Chief Financial Officer: Yeah, I'm going to start with the financing, Helen. Yes, we do plan on project financing that. And actually we have already kicked off some dialogue with some banks. So, we're moving forward with that. Clearly, we need to time that with the project and the spend. But I think you can see us probably working through probably third quarter here and into the fourth. Probably have something finalized probably in the fourth quarter.
Helen Jung Ryoo - Barclays Capital, Inc.: Okay. And then maybe – yes. Please, go ahead.
Marshall S. McCrea - Director, Chief Operating & Commercial Officer: I'm sorry. This is Mackie, Helen, (32:19). As you saw in DAPL, it was very difficult. In fact, internally, some of us didn't really want to sell our interest in DAPL, but it's such a great project with great EBITDA coming and all that that it just made sense. So that evaluation on all of our projects, including Rover, will continue. If it makes sense to bring a partner in at a premium and put those dollars to work somewhere else, we will continue to have those conversations and evaluate those opportunities. As far as expanding Rover, it'd be very difficult to expand just a mainline across Ohio. Already it's going to be two 42-inch pipelines over 300 miles long. And because of some fuel caps and some contractual obligations we have, it'll be difficult to expand the mainline. However, there is all kinds of expansions on backhauls and also depending on where the gas may come in along the line and new delivery points, there may be some opportunities to expand parts of the system.
Helen Jung Ryoo - Barclays Capital, Inc.: Thanks for that color. And then last question is on Lone Star Express. I guess you've constructed, you said, the final portion has started a week ago. So I guess we'll see that volume ramp up. And I think in the past you talked about more than 200,000 barrels contracted out. Maybe just in terms of ramp-up period how that looks like. Also, does this project open up – how does it position Energy Transfer in taking advantage of the ethane recovery that everybody believes will happen with the cracker coming online? And then in terms of project return, as you announce more projects, I guess there's one coming up, another one to be announced in Delaware, as you alluded to. I would think those plants would connect to Lone Star Express. These more projects that get announced, is that upside to the contracted volume that you have discussed in the past? I'm sorry there's a lot of questions, but those are...
Marshall S. McCrea - Director, Chief Operating & Commercial Officer: That's okay. No problem, Helen. This is Mackie again. Similar to the job Lee Hanse did on developing DAPL, he and his team, just phenomenal job. Steve Spaulding has done on Lone Star. If you look at the growth of those assets, it's just been phenomenal. We continue to grow. We continue to expand. As soon as we expand, over a short period of time, within a year we fill it up. And in this project, not only have we signed and contracted volumes to give us an accretive return on the capital, we've created tremendous opportunity of expansion. As you mentioned, 200,000 barrels a day makes that a very accretive project. And we can actually expand it up to 900,000 a day. So we have a tremendous ability to expand that system. And as you and probably everybody knows, we're probably the best partnership by far as far as situated in Texas from the Barnett Shale to Eagle Ford to West Texas. We continue to really focus on the Permian Basin in Delaware and every plant and every barrel comes through our facilities. And many others will be feeding the Lone Star System, both the transport and the frac. So for several years to come, we continue to expect the Lone Star assets to improve and add accretive cash flow to our partnership.
Helen Jung Ryoo - Barclays Capital, Inc.: All right. That's great color. Thank you so much.
Operator: The next question comes from Michael Blum of Wells Fargo Securities. Please go ahead.
Michael Blum - Wells Fargo Securities LLC: Hey. Thanks, everyone. Let me just ask some of those Bakken Pipeline questions a little more directly. Can you tell us what percent of the current pipeline is contracted? And if with the additional Marathon volume commitment, would you definitely need to expand?
Marshall S. McCrea - Director, Chief Operating & Commercial Officer: Yes. Right now, we contracted 470,000 a day and there are some flex volumes in there. As Matt mentioned a minute ago, it didn't take a whole lot of capital to increase that up to 100,000 barrels at least, possibly even more as far as dropping off more in the Mid-Continent. And so we can actually go a little bit higher than that. But we're not really going to talk about any kind of returns or anything that Marathon has contracted for. But as Matt mentioned a moment ago, we are highly optimistic through this new open season that we'll sell the majority of the capacity either to Patoka or more likely whatever is remaining down to Nederland.
Michael Blum - Wells Fargo Securities LLC: Okay. So it sounds like you will most likely you will be expanding to the 570,000 barrels a day.
Marshall S. McCrea - Director, Chief Operating & Commercial Officer: Highly likely. Yes.
Michael Blum - Wells Fargo Securities LLC: Yeah. Okay. And then can you just tell us, maybe, Tom, how much have you spent so far on the Bakken Pipeline project in total?
Thomas E. Long - Chief Financial Officer: Yeah, Michael. I think as we put out in that press release associated with the financing, the $2.5 billion, we mentioned that it was going to be enough to actually complete the project as far as spending goes. So we've always put the guidance out there that it's about 4.8% (37:35). So I think as you can see from that, we spent about $2.2 billion, $2.3 billion, in that neighborhood.
Michael Blum - Wells Fargo Securities LLC: Okay. And then just wanted to confirm, you had talked in the past about waiving the IDRs on any ETP that you issued, I guess I think this year. Is that still in place and will that also be in place in 2017?
Thomas E. Long - Chief Financial Officer: Yeah, Michael. And that's basically what we just did. I think you'll see the IDR subsidies starting with $75 million in the second quarter moving up to $130 million. Is that what you were asking?
Michael Blum - Wells Fargo Securities LLC: No. I was asking in addition to the IDR subsidy just announced, would you also be waiving any IDR's that would come off of new units being issued, or is that already effectively included in the IDR waiver?
Thomas E. Long - Chief Financial Officer: The latter there, Michael. I'm sorry.
Michael Blum - Wells Fargo Securities LLC: Okay. Got it.
Thomas E. Long - Chief Financial Officer: That's exactly right. It's the latter. This is taking into effect that.
Michael Blum - Wells Fargo Securities LLC: Okay. Great. Thanks for the clarification.
Operator: The next question comes from Shneur Gershuni of UBS. Please go ahead.
Shneur Z. Gershuni - UBS Securities LLC: I think that's me. Good morning, guys. Just a couple of quick questions here. With the announcement the other night, you've definitely demonstrated some support for ETP and the market obviously approved. Are you considering doing something similar for SUN? And then secondly as part of that, can you talk about whether there would be any need for equity on a go forward basis or is the ATM basically there just for – a just in case at this stage right now?
Kelcy L. Warren - Chairman & Chief Executive Officer: Yeah. This is Kelcy. Yes, absolutely. We will consider – for any of the partnerships in the family, we will consider IDR support. As you know, ETP is in a unique position in that it has this tremendous amount of growth that Mackie and team have developed. And when you're spending that kind of money and not generating any distributable cash flow for your unitholders until 2017 and in some cases even 2018, that's difficult. So an IDR subsidy of this magnitude and potentially more IDR subsidies are absolutely appropriate and ETE will do what it needs to do to support ETP. And then going to SUN – yeah, the way these guys operate and the way Bob understands, is when you believe that an IDR subsidy is appropriate, you approach ETE with that, and in this case Bob would approach me and we would – if we agreed that it was appropriate, then we would certainly provide that.
Thomas E. Long - Chief Financial Officer: And then – second part – I'm sorry.
Shneur Z. Gershuni - UBS Securities LLC: Please Tom, yeah.
Thomas E. Long - Chief Financial Officer: Yeah. As far as the second part of your question around the ATM, I mean, that's correct. We did just go effective on a additional $1.5 billion – actually a new ATM program of $1.5 billion. And I think you worded that correct, we'll just be opportunistic on that to continue to always manage leverage. It's nice to have this flexibility. I know we've talked about it in the past. But with the steps that we've taken with the announcements that came out Tuesday, obviously, we've been executing on everything that we've had in place and had planned. But we do need to keep the ATM in place, once again to be opportunistic on that front. So...
Shneur Z. Gershuni - UBS Securities LLC: Okay. And if I can follow-up an earlier question with respect to Rover, given that you've sort of entered this partnership arrangement with Enbridge as one of the parties, do you foresee continuing to work with them? As I think about Rover and where Vector sits as well, is that a JV opportunity that you can continue to work with Enbridge on? Or alternatively, working with some of the others who are proposing some pipeline solutions in the Northeast as well, too?
Matthew S. Ramsey - President & Chief Operating Officer & Director - Energy Transfer Equity LP: Yeah, for a little clarification, Enbridge is in a DAPL project. And over on Rover, we have been in discussions, certainly confidentially with Nexus to determine whether or not it may make sense to do something together. Right now, though, I think both partnerships believe theirs are going to be built. I think you're seeing that happen on our side. And we'll continue to be open-minded and look for opportunities to team up where it makes sense. But in the meantime as we mentioned, as Tom mentioned earlier, we're on track. We haven't changed anything on our timing. And we're excited about bringing that project in service mid-2017.
Shneur Z. Gershuni - UBS Securities LLC: So just to clarify, your conversations at this stage is mostly with Nexus, it's not trying to connect into Canada with Vector at all at the Enbridge level?
Matthew S. Ramsey - President & Chief Operating Officer & Director - Energy Transfer Equity LP: Correct.
Shneur Z. Gershuni - UBS Securities LLC: Okay. Perfect. Thank you very much guys.
Matthew S. Ramsey - President & Chief Operating Officer & Director - Energy Transfer Equity LP: Thank you.
Thomas E. Long - Chief Financial Officer: Thank you.
Operator: Your next question comes from Darren Horowitz of Raymond James. Please go ahead.
Darren C. Horowitz - Raymond James & Associates, Inc.: Hey Mackie, if I could, I wanted to go back to your comments around the increase in rich gas processing from the West Texas Delaware into Mont Belvieu. When you look at how you guys have scaled the Lone Star Express capacity and you're looking more demand pull coming out of the back end of the system, how do you think about the scalable opportunity to add more capital with regard to getting the product on the water, whether or not it's feeding additional LPG export capacity or the consideration of a purity ethane terminal? Because it seems like you've got a lot of the capital on the front of the system pushing Y-grade into the fracs. And I'm just wondering how you think about purity product export?
Marshall S. McCrea - Director, Chief Operating & Commercial Officer: Thanks, Darren. One thing we have done, and really how we build this partnership over the years is responding to what our customers asked for. So it is our goal to take it from the well-head all the away, put it on ships and export it. We took advantage of those opportunities with our synergies with SXL Nederland and that project went phenomenally well. However, we are in very challenging times right now or the industry is on just a basis collapse with ethane and propane. But we continue, Steven and his team continues to evaluate different terminals in addition to growing SXL's business out of their terminal and we'll certainly take advantage of any opportunities on developing our export business. However, as I mentioned, it's very challenging now. End of 2017, beginning of 2018, I think there's about 500,000 barrels of ethane crackers coming online. So that's going to kind of continue to change the dynamic. So we do believe as I think most of the industry does, that the export business will grow. It's just difficult right now.
Darren C. Horowitz - Raymond James & Associates, Inc.: Okay. And then Kelcy, one question for you, more of a capital allocation question. In light of the IDR subsidies that you guys have outlined that ETE is providing to ETP. Once that plan wraps up, how do you think about the magnitude of ETP's distribution growth possibly resetting early in 2018? And maybe more importantly, how do you think about balancing that growth rate with sustaining high relative coverage than you did before, and also the expectation of being more self-funding. So maybe that means issuing incrementally more equity through the ATM or possibly allocating more free cash flow towards growth CapEx but also managing leverage. It's a bit of a balance and I'd love to know how you think about it.
Kelcy L. Warren - Chairman & Chief Executive Officer: Yeah. And you're right, there's a balance. And it should be more science than art, but unfortunately it's a combination of the two. And what I mean by that, Darren is, as we – it is our intention that when ETP recovers above one coverage ratio and that – it will never below one again. As you know, there's things unforeseen that can happen in this industry, good and bad, by the way. We tend to just focus on the bad of late. But there are positive things that can occur too. But it's our intention that ETP should not be hanging around the one coverage ratio. It should be hanging around a 1.1 to 1.15 coverage ratio going forward. Now, that's not to get anybody depressed that we don't have an aggressive distribution strategy. We do, but I think our number one focus right now is to get ETP into that healthy zone of coverage. And then, we will resume distribution increases.
Darren C. Horowitz - Raymond James & Associates, Inc.: Thanks, Kelcy.
Kelcy L. Warren - Chairman & Chief Executive Officer: Thank you.
Operator: The next question comes from Jeremy Tonet of JPMorgan. Please go ahead.
Jeremy B. Tonet - JPMorgan Securities LLC: Good morning.
Thomas E. Long - Chief Financial Officer: Good morning.
Kelcy L. Warren - Chairman & Chief Executive Officer: Good morning.
Jeremy B. Tonet - JPMorgan Securities LLC: I was just wondering if you guys could provide any color as far as you thoughts with regards to producer activity out there, given kind of the volatile commodity price environment? Is there any thoughts you can share as far as the different regions and risk to volumes or upside to volumes?
Matthew S. Ramsey - President & Chief Operating Officer & Director - Energy Transfer Equity LP: You bet, Jeremy. And by the way, someone has got a kick out of your headlines on DAPL. We enjoyed that. But anyway – we are in very challenging times, certainly, in the midstream. However, if you look at Q1 to Q2, kind of across the United States, we were up in South Texas. We were flat in North Texas where there is really very few rigs running. We had significant growth in the Permian Basin. Of course, with Orla as was mentioned we are relatively fat in the Mid-Continent. We had some growth in North Louisiana in Arklatex. And then the only thing that's holding up our growth in the Northeast is outlets – there is no outlets out one of the prolific areas, the Marcellus and North Central Pennsylvania. Once those come online later in 2017, we'll see volumes grow exponentially, as well as we'll see that of course speeding our Rover System mid next year. So really all-in-all, in fact we – incredibly difficult and fluctuating times in commodity prices, things are relatively well throughout the country considering. But we certainly continue to focus primarily on the Delaware and Permian Basin in our growth and that's where most of the rigs are relatively to the rest of the country. And then we hope to keep our South Texas volumes flat to slightly growing throughout the remainder of this year.
Jeremy B. Tonet - JPMorgan Securities LLC: That's great. Thanks for that. Turning to the Bakken Pipe, I'm just curious, if you're bringing in Marathon and all this pull that Marathon brings, and you're bringing in Enbridge and you have the Canadian Mainline behind them with obviously lot of supply. It feels like there's a lot of volumes that could be pointed toward the Bakken Pipe now. You said with pumps you can go to 570,000 barrels a day, but the quantities of volumes we're talking about, it feels like it could be more than that. And I'm wondering if you do drag reducing agents or is there any capacity to go above that type of capacity or am I being overly optimistic here?
Matthew S. Ramsey - President & Chief Operating Officer & Director - Energy Transfer Equity LP: As I mentioned earlier, we can go to 570,000 barrels a day relatively easily with DRA depending on the drop off. For example, if Marathon or other refineries in the Midwest request more capacity, we will be able to do more than 570,000 barrels a day with more of it dropping off in at Patoka. There does become a point just of efficiencies, and pump efficiencies to where you kind of max out. We don't really have that number, it's North of 570,000 barrels a day. We'll play it as the market provides demand and we'll build the system to match our contractual obligations.
Jeremy B. Tonet - JPMorgan Securities LLC: Thanks for that. And Tom, just turning to the balance sheet and conversations with the agencies, just wondering as far as with the Bakken divestiture and as far as getting the project financing, just wondering how those conversations are going right now? Where you see the leverage trending, and what's their – I guess comfort level with your plans there?
Thomas E. Long - Chief Financial Officer: Sure, Jeremy. The conversations continue to remain, I think, good with all the agencies. A lot of what we just executed on is a plan that we had laid out for them. So – and I think we've actually exceeded anything that we've showed them, as we've kind of put – been able to announce all these various financings and this Bakken equity sale down. So, I think you'll see for the quarter we were at 4.47 times. That's based up on the course of calculation for the credit facility. I don't mind telling you pro forma with this transaction closing, it will actually be 4.25 times for the credit facility. So as you look out, I think we've got a great story for the agencies. We'll obviously sit down with them again after this quarter and these announcements. But we feel very good about all these steps that we've taken.
Jeremy B. Tonet - JPMorgan Securities LLC: That's helpful. That's it for me. Thank you.
Kelcy L. Warren - Chairman & Chief Executive Officer: Thank you.
Operator: The next question is from Kristina Kazarian of Deutsche. Please go ahead.
Kristina Kazarian - Deutsche Bank Securities, Inc.: Good morning, guys.
Thomas E. Long - Chief Financial Officer: Good morning.
Kristina Kazarian - Deutsche Bank Securities, Inc.: I know you guys touched on this in a couple of different answers, but we saw some good growth in liquids throughput, and I know a lot of this is on the crude side. But can you touch specifically on if we saw any higher ethane volumes? And then my follow-on to that is when Lone Star Express is fully ramped, can you just remind me how I should be thinking about network effect?
Marshall S. McCrea - Director, Chief Operating & Commercial Officer: Sure, Kristina, this is Mackie again. The way we operate Lone Star is, first off, we live up to our obligations to transport. And then where it makes sense and where we can recover ethane, we do. So it's kind of a day-to-day, month-to-month type decision. We think we'll see continued growth in recovery of ethane and less rejection as time goes on, as I mentioned. But we will do everything we can to maximize the throughput of our pipelines at the best returns possible for our unitholders, which in many cases, many days we are recovering more ethane than probably a lot of our competitors.
Kristina Kazarian - Deutsche Bank Securities, Inc.: Perfect. And a follow on, you guys touched or mentioned earlier that you're thinking about a new Delaware Basin processing plant. Can you just talk a little bit more about timeframe on this? And is this maybe a start to a trend? Do I kind of see a couple more here and there? How do I think about that?
Marshall S. McCrea - Director, Chief Operating & Commercial Officer: Okay. And as I mentioned, this is really where a lot of our midstream focus is, the most exciting, probably the last well that we drilled oil fell to $20 would be the Permian Basin. We're very well positioned out there. If you look at, kind of, what we call our super system, we've – with the acquisition of Regency and now with all the bigger inch pipe and plants that we've added on and are adding, we've got a very significant and almost superior position with our competitors. So we'll continue to look at placing the plants in the best strategic parts of West Texas and parts of our system to add new volume to not only grow our processing and GMP business but also to add revenue to our Lone Star and our residue. As you know, we are bringing on the 42-inch Mexican pipes in first quarter of 2017 and a lot of the volumes that are out of West Texas (54:05) plants will end up going to our Waha Hubs, so we'll continue to see growth there also for our Intrastate business.
Kristina Kazarian - Deutsche Bank Securities, Inc.: Perfect. And last one for me is just a mechanical one. Can you remind me how the Class J units will impact ETE on a go-forward basis and what the benefits to those kind of are?
Thomas E. Long - Chief Financial Officer: Yeah, Kristina. Basically how they'll impact ETE is basically the $10 million per unit. So 180 units, it will transfer tax depreciation up to ETE. So to be shared with the ETE calculation.
Kristina Kazarian - Deutsche Bank Securities, Inc.: Perfect. Thanks, guys. That's it for me.
Kelcy L. Warren - Chairman & Chief Executive Officer: Thank you.
Operator: The next question is from Brandon Blossman of Tudor, Pickering, Holt. Please go ahead.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: Good morning, guys.
Thomas E. Long - Chief Financial Officer: Good morning.
Kelcy L. Warren - Chairman & Chief Executive Officer: Good morning.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: Circle back, hopefully one last time on Rover- Revolution. Some interesting comments. One, it sounds like everything is at least on schedule, if not – this call on schedule, so that all looks good. There was comment, negotiations – perhaps casual negotiations relative to Nexus. So I guess in light of that comments, how should we handicap this project both Rover and Revolution being in their current configuration online as projected? Or is there, what's the – possibly a reconfiguration or some combination here?
Marshall S. McCrea - Director, Chief Operating & Commercial Officer: Brandon, this is Mackie. I wouldn't characterize as negotiations. I would say that we've been more in discussion that just make sense with two pipelines that cover kind of the same supply areas and also the same market, it just makes sense. But you can handicap ours at 100% that we'll have this pipeline built. And at this point in time we expect it to be built on time. I guess I would direct your questions toward Nexus on what their likelihood of building theirs is. Our discussions are that they're going to build it, so we'll see.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: All right. Well, that's awesome. That's very clear. And then just a supplement on that. Project financing, should we think about that as the same structure as the Bakken project or is there something different contemplated?
Thomas E. Long - Chief Financial Officer: No, you should probably look at it as similar structure. We did end up going into the bank market for the Bakken. I will tell you for Rover, we're probably more focused on going into more of a term loan, institutional market. But you should see it fairly similar.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: Okay. And then shifting gears. Lake Charles, two questions there. One, just what is the CapEx to keep that in place and move it along on the permitting front? Is that a material amount of CapEx? And then secondly and probably more important, as we move forward, obviously a very high-quality project, is there any thought or opportunity to continue to push that forward independent of Shell?
Thomas E. Long - Chief Financial Officer: On the first question, all the permitting is in place. So we're good to go on the regulatory front and from all the permitting front, it's good to go. As far as Shell is concerned, we just haven't had a chance to talk with them since their announcement. We look forward to pushing this thing along with them. And we're able to do it on our own. We've got the permitting now from the DOE to do it on our own. We can certainly do all the other aspects of the project. But we look forward to sitting down with Shell and working out a timeline and moving forward with them.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: Okay. Fair enough. And I was thinking permitting plus early works, is that a material amount of CapEx?
Thomas E. Long - Chief Financial Officer: Permitting is done, again, it's complete. On the early works, right now we've got about $50 million in spend in queue that we're moving forward. And half of that is Shell's obligation and half of that is our obligation. And we're talking about moving some facilities, the purge, roadwork, some lines, some wells we're going to plug and abandon and tree clearing. So most of this is not imminent, other than the road work. We can push some of this off. But in the meantime, again, we're moving forward with these projects and we're talking about spending $50 million to $60 million.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: Great. Thank you very much.
Thomas E. Long - Chief Financial Officer: Thank you.
Operator: The next question is from John Edwards of Credit Suisse. Please go ahead.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): Yeah. Good morning, everybody. I was wondering if you could just speak to the target debt metrics that you're looking at across the Energy Transfer family, across the entities?
Thomas E. Long - Chief Financial Officer: Hey. You bet, John. Our target remains about 4.5 times at ETP. I think we feel like that's a good level. And then if you look at it from an ETE standpoint, we're always going to target to stay on the standalone basis below the 4 times. So you can see even with this quarter, you can see that we do have a lot of headroom there. So we're going to stay in the 3.5% or so at that ETE level. And obviously for SXL and SUN, we'll let them of course answer the question also. But I will say that likewise SXL is very focused on keeping its investment grade rating. It keeps a good leverage there of 4.5% and below from that standpoint. So I think that's it, John.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): Yeah. Okay. Great. Thanks, Tom. I don't know if this may be more of a question for SUN. But they just recently acquired some midstream. And I was just wondering if you were looking at maybe bringing SUN along with ETP and SXL in some future projects, or if that's something they would need to approach ETE on?
Kelcy L. Warren - Chairman & Chief Executive Officer: Yeah, John. This is Kelcy. Bob knows that we believe, ETE believes, that there should be some distributable cash flow diversification at SUN. There's not an urgency to do it, but we think it would be the right thing to do. ETP experienced this. We were, as you know, John, we were heavily weighted in propane and bases of natural gas movement through Texas. When bases went away in Texas and propane struggled, we found ourselves not in a good position. So we diversified. And we believe that that would be appropriate for Bob and SUN. So I applaud them in moving more into the midstream terminalling complementary side of the business. I think they're doing a good job and I think that we would like to see more of that.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): Okay. That's helpful. And just maybe, Kelcy, if you could expand a little bit on your broader macro views on commodity and volumes. Obviously there's a lot of different ideas in the market. What's your thought about trajectory and price recovery, that kind of thing?
Kelcy L. Warren - Chairman & Chief Executive Officer: Yeah, John, every time I answer this question I lose a lot of friends and I'm down to just a few. But I'll tell you.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): I just wanted your thoughts. Sorry.
Kelcy L. Warren - Chairman & Chief Executive Officer: Yeah. Unfortunately, I remain bearish on crude prices. And I'm not – everybody on this call, this participant is (1:02:32) in this category. But when I look at what we're seeing day-to-day, what we're seeing in the Permian and the successes we're seeing with less capital, more volume, fewer wells, more volume, I'm just, shoot, John, I don't see crude being – I'm not really bullish on crude going up. And now I'm not smart enough to address what might be the global declines of production. I know a little bit about that, but not that much. So therefore, here is my opinion, I'm bearish on crude. Long-term, gosh, I'd love to see in 2017 maybe. I've read a lot of reports that we might see crude back up $65 a barrel. Wow, that would be good. I don't know how that's going to happen based on this little micro thing I see every day. But I hope that does happen. On natural gas, I think natural gas is really a fascinating commodity. It's so efficient. You can store it so easily, you can deliver it into the network so easily. And I look at natural gas and I see a slight recovery and a healthy industry coming back. And then, though, you begin to scratch your head a little bit with some of this infrastructure that gets built up in the Northeast and more production is able to flow freely to those markets. I'm curious to see if natural gas goes backward a little bit. Right now, I'm pretty happy with where we're seeing prices of natural gas.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): All right, great. That's really helpful. Thank you. That's it for me. Thanks.
Thomas E. Long - Chief Financial Officer: Thanks John.
Operator: The next question is from Ted Durbin of Goldman Sachs. Please go ahead.
Theodore Durbin - Goldman Sachs & Co.: Thanks. I hate to beat up on Rover a lot, but I want to just come back to this notion of rationalizing capacity. And I guess really the question is not just on Nexus but what are your customers telling you? Do they still want to pay the, call it $0.55 into Defiance, $0.80 the Dawn or would they rather – you reduce the capacity maybe just do one line across Ohio, skip the line into Michigan? What are your customers actually telling you right now, before you go into construction?
Marshall S. McCrea - Director, Chief Operating & Commercial Officer: Yes, it depends on the customer. This is Mackie, Ted. Depends on the customer. We have some of our larger customers saying please be it on time. We need the capacity all the way down to the range and maybe some of our smaller customers where the volumes maybe slow in coming. But even a little bit in your question, it seems like in the industry and folks we meet with and talk to, there's some kind of uncertainty about our project. I mean, there's nothing we're changing. It's a 3.25 Bcf project. We're building it in phases. The first phase, as we mentioned, completed mid-2017, the final phase November 2017. And we expect to meet that timeline and to be able and ready to transport the volumes that we've contracted. In the meantime, we really don't get into specifics about what customers are asking or any changes in their agreements, but we certainly are open-minded and accommodating any customer on any issue that they want to bring up with us.
Theodore Durbin - Goldman Sachs & Co.: Understood. That's helpful. And then coming back to the Class J and I guess my thought is, is this a precursor to coming back to the notion of a C-Corp tracker stock, an ETC type of entity, just your thoughts on the use of that depreciation of ETE.
Kelcy L. Warren - Chairman & Chief Executive Officer: Oh, hell no. We're not doing that John (sic) [Ted] (1:06:27), not on the C-Corp. So I'll let Tom talk about any of the Js.
Thomas E. Long - Chief Financial Officer: Yeah. No, you bet. Listen, if there's any other drill down as far as detailed type tax impact, et cetera, happy to set up a call with Brad, our Head of Tax, et cetera to kind of talk through that. But, yeah, no plans.
Theodore Durbin - Goldman Sachs & Co.: Understood. And then just last one for me. We've now walked away from the prior deal that was on the table, what's the M&A landscape look like? That was some of my TC questions because I was a bit of a tool for you to use there.
Thomas E. Long - Chief Financial Officer: Yeah, as we've stated before and we feel strongly about this, to correctly run especially mature MLPs, for you to correctly run those, you must have a correct mix of organic growth combined with an M&A approach. We strongly believe that. And we've been out of the game for about a year. As we are now back in our normal ordinary course of business of churning. We're looking at a lot of opportunities that would fit ETP, SUN, SXL. We will continue that but they're hard. Those transactions are yet to be harder and harder to do. We think we're pretty good at it. And we're going to hopefully have some news within the next six months to 12 months that will reflect that we are back in the M&A business.
Theodore Durbin - Goldman Sachs & Co.: Okay. I'll leave it at that. Thank you.
Thomas E. Long - Chief Financial Officer: Thank you.
Operator: The next question is from Jean Ann Salisbury of Bernstein. Please go ahead.
Jean Ann Salisbury - Sanford C. Bernstein & Co. LLC: Hi, there. Can you talk about the capacity release system for Rover if some of the shippers you mentioned maybe don't need their full commitment right away? What's the timing in the process? Does it have to be after a start up and could you help them remarket it if it's before?
Marshall S. McCrea - Director, Chief Operating & Commercial Officer: This is Mackie again, Jean Ann. We still have about 150,000 that we have not sold. We are very optimistic, in fact close to selling some of the additional capacity of that 150,000 a day. In the meantime as I mentioned, if there's any of our customers that are looking to tear or maybe bring in volumes somewhere else that might fit their transportation, we're open-minded and we're working with every one of them to try to help them get their volumes up to a levels that they need them to be to cover their demand charges. But as I mentioned, we don't look at all that detail of specific customers, but wherever they're asking us to work with them, we are.
Jean Ann Salisbury - Sanford C. Bernstein & Co. LLC: Okay. And do you have the ability to lower the rates in order to help them incentivize more volumes, or are you kind of set with what you've negotiated with everyone?
Marshall S. McCrea - Director, Chief Operating & Commercial Officer: It is a FERC regulated system, so we certainly have a lot of regulatory limitations on what we can or can't do. But certainly, anything that we can do within the confines of those regulation, if it works for us and our customers, we will do it.
Jean Ann Salisbury - Sanford C. Bernstein & Co. LLC: And apologies if you've said this before, but can you remind me how much has been spent on Rover so far?
Thomas E. Long - Chief Financial Officer: Yeah, this is Tom. Basically, I think let's say pre-2016, about $1.3 billion. This is at the 100% level, the number I'm giving you. And for 2016, you're looking at about $300 million. So kind of going 2017 up, as you all know we've got the guidance out there about $3.8 million. That would be about the balance after that.
Jean Ann Salisbury - Sanford C. Bernstein & Co. LLC: Okay. Thank you.
Thomas E. Long - Chief Financial Officer: Thank you.
Operator: The next question will come from Danilo Juvane of BMO Capital Markets. Please go ahead.
Danilo Juvane - BMO Capital Markets (United States): Good morning. Thanks for taking my questions. If I heard this correctly, with respect to the coverage at ETP, was the range provided 1.1 to 1.5 times? Is that correct and if so, I'm curious to know what would make you guys hold the coverage at the high end of that range?
Thomas E. Long - Chief Financial Officer: It was 1 to 1.15.
Danilo Juvane - BMO Capital Markets (United States): Okay.
Kelcy L. Warren - Chairman & Chief Executive Officer: And it's an excellent question. The point I'm trying to illustrate is, ETP is below 1, everybody knows that. It needs support until the growth projects come online. Everybody knows that. And we're getting that support. But then I don't – this falls in the category of life's too short around here. It's not fun to operate a business that is under a 1 coverage ratio. And we must fix that. And I'm not comfortable getting 1.01 and resuming distributions. I'm not comfortable doing that. But I don't think once we get to 1.1 area then the comfort increases and I think distribution increases, probably are appropriate for our unitholders in that to 1.15.
Danilo Juvane - BMO Capital Markets (United States): Thanks for the color Kelcy. If I could just follow up on that, given all the initiatives that you've sort of made here to support the MLP, how should we think about the ETE distribution in the next couple of years? Is that sort of flattish as well and will that resume growing in 2018?
Kelcy L. Warren - Chairman & Chief Executive Officer: Yeah, it's an excellent question. And I will tell you, I've heard some nonsense from out there that people think we're going to cut it and that ain't happening. So don't worry about that first. And then I would say, the election is being made by ETE now, and I think it's a correct election, to use its healthy excess coverage ratio to support the underlying – our partnerships beneath it. I believe that is the correct decision. I think that's the correct decision, and as you know we don't give guidance, but you can – I'm going to kind of give you a little bit here that you can probably create your own. I think as these projects begin to come online, then ETP's financial health improves greatly, and at that point I think IDR subsidies are not required and in fact those dollars should be distributed to our unitholders.
Danilo Juvane - BMO Capital Markets (United States): Okay. Thank you for the color. Thank you.
Kelcy L. Warren - Chairman & Chief Executive Officer: Thank you.
Operator: The next question comes from Ethan Bellamy of Baird. Please go ahead.
Ethan Heyward Bellamy - Robert W. Baird & Co., Inc. (Broker): Kelcy, two big picture questions for you. First, investors don't like the convert. Would you consider getting rid of it, and if not, I know you said you weren't going to cut ETE, but would you be willing to commit to ETE holders that you've taken a economic haircut on the covert if the ETE distribution were ever threatened?
Kelcy L. Warren - Chairman & Chief Executive Officer: No.
Ethan Heyward Bellamy - Robert W. Baird & Co., Inc. (Broker): Okay. And then your MLP competition continues to collapse structures and simplify, and I know that you get this question all the time, but has that changed your opinion on the org chart complexity at all and simplification potentially?
Kelcy L. Warren - Chairman & Chief Executive Officer: Yes, we do get this question all the time. And we have studied what our peers do, and I respect what they do. And it's an – everybody knows this, everybody on this call knows. It's not sustainable with the IDR model that MLPs are blessed to have. It's not sustainable to grow an MLP at tremendous growth rates and that's not sustainable. You can't do that. So, what our philosophy is that it would be a mistake for the GP to not have the flexibility to support the operating partnership's beneath it. That's evidenced by what's going on right now with ETP. We think having a GP that has the ability to support the MLPs is the way we choose to run our model. And so we would be open-minded to a consolidation down the road but up to now, it's not something that we've seriously considered.
Ethan Heyward Bellamy - Robert W. Baird & Co., Inc. (Broker): Thank you.
Kelcy L. Warren - Chairman & Chief Executive Officer: Thank you.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. And I would like to turn the call back to Tom Long for closing remarks.
Thomas E. Long - Chief Financial Officer: Thank you. Once again, appreciate everyone joining us today. We are obviously very excited about, like I said, all the announcements we've made, we're very excited about the future and executing on all of these projects. And we look forward to talking to you all further. Thanks everyone.
Operator: This concludes today's conference. Thank you for your participation. You may disconnect your lines at this time.